Operator: Good day ladies and gentlemen and welcome to the first quarter 2010 SL Green Realty earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host for today, Ms. Heidi Gillette, Director of Investor Relations; please proceed. 
Heidi Gillette: Thank you everybody for joining us and welcome to SL Green Realty Corp’s first quarter 2010 earnings results conference call. This conference call is being recorded. At this time, the company would like to remind the listeners that during the call, management may make forward-looking statements. Actual results may differ from predictions that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company’s Form 10-Q and the other reports filed with the Securities and Exchange Commission. Also during today’s conference call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measure most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found at the company’s website at www.slgreen.com, by selecting the press release regarding the company’s first quarter earnings. Before turning the call over the Marc Holliday, Chief Executive Officer, SL Green Realty Corp, we would like to remind you participating in the Q&A portion of the call, to please limit your questions to two per person. Thank you. Go ahead, Mr. Holliday.
Marc Holliday: Thank you all for joining us this afternoon. We appreciate you tearing yourselves away from the Goldman Sachs senate hearings to allow us to review with you the quarter’s results that were announced early last evening. We had another solid quarter that was very much in line with the guidance we gave out in December at our investor meeting and again when we reinforced it with everyone on our last call in January. As forecasted 2010 is proving to be a transitional year for this company as we continue to raise capital through the issuance of securities for continued deleveraging but also demonstrating a renewed focus on deploying capital into new opportunities which we believe will position us for success and growth into the next phase of this business cycle. Through the issuance of unsecured debt and preferred equity we were able to term out our liabilities, reduce overall indebtedness, and execute on over $700 million of new investment activity in the past seven months. This investment activity is comprised of completing the foreclosure and commencement of repositioning at 100 Church Street, the newly contracted investment in 600 Lexington Avenue, the investment in 510 Madison Avenue mortgage and mezzanine positions, and another $140 million other new structured finance investments secured by New York City Commercial Properties. This brings our total amount of structured finance investments to $787 million, an amount that’s roughly equivalent to last quarter, $500 million of which is secured by 7.2 million square feet of Manhattan office properties. Notwithstanding the dilutive effects of the capital raising and deleveraging I believe that through our strategic debt repurchases, new investment activity, and careful management of operating expenses, and capital improvements, we remain on track with our prior earnings guidance. The investments that we are now making follow a belief that we began conveying to the market back in December, that market fundamentals had bottomed out and were beginning to improve, that the City’s economic activity was beginning to pick up as evidenced by certain leading indicators we follow and that pent up capital for well located prime Manhattan assets would emerge and begin driving cap rates down to 5.5% to 6%. During the first quarter we have acted on these convictions and have been pleased to see that the City’s rebound continues at a slow but steadily improving pace. On the jobs front in New York City, March was strong across the board with the addition of 12,700 private sector jobs, 3,000 of which were created in the professional business services sector which is essentially the heart of the SLG portfolio. There were also gains in banking and real estate as well as temporary job services, education and health, and 1700 new jobs in leisure and hospitality. Even construction posted 2500 additional jobs in March which is typically very cyclical but certainly headed in the right direction and we’re very hopeful that this will continue to be the case in the future but the jobs growth is definitely pointing towards a renewed vibrancy in New York City. And the improving job picture has resulted in a modestly improving leasing market as well. During the first quarter approximately 3.5 million square feet was leaded in Midtown, chipping away at Midtown’s vacancy rate which hovers now at around 12.6%, 12.7%. Notably of this amount the sublet rate is down to around 3% right now with close to two million square feet of sublet space having been taken off the market in the past nine months. So, the market has shifted more towards directly available space from landlords much less towards built and unnaturally competitive sublet space which is going to work to landlords’ advantage in 2010 as we try to drive tenant concessions back to what we would call more of a normalized state of being as opposed to what’s been the case for the past two years. There are certainly a large number of requirements in the market right now that should result in continuing improvement in the overall vacancy rate as demand picks up. This demand and these requirements are generally falling into one of four categories; those that are looking to consolidate, those that are looking for growth, those that are simply looking to lock in long-term what are believed to be cyclically low rents, and those tenants that are just looking to trade up in quality. Examples of such requirements include a large insurance company in the market for 120,000 square feet, several law firms we are negotiating with with requirements from 80,000 square feet to 270,000 square feet, two foreign investment banks in the market for 350,000 square feet to 450,000 respectively, an entertainment company in the market for 300,000 square feet, and a publishing company in the market for 225,000 square feet. What’s notable about these deals is that the size is falling into that 100,000 to 300,000 square foot block which is much different than the type of demand we have seen over the past two years which was decidedly 100,000 and below as the sort of the center of the activity now, we’re seeing larger block demand which typically have somewhere around 20% growth factors built in to those requirements. So, again slow but steady. There’s not many but a few that are 500,000 feet and over but there’s a lot of deals that we consider very real in that 100,000 to 300,000 foot range. We’re seeing this in our own portfolio as well. At 333 West 34th Street on the heels of the MTA lease signing for 125,000 square feet, we’re now negotiating three different proposals which would take up the balance of the space in that building. At 100 Park Avenue, where it had been slow to finish off the redevelopment leasing in the base we are now negotiating two proposals for the fifth and sixth floors of that property, more importantly up in the tower where we are seeing real competition for space, we have raised our taking rent in the tower and started to trim our concessions. At Tower 45 where we recently yanked the 75,000 square foot deal with DE Shaw Research, we’ve made the decision to go forward with a capital improvement program targeted mostly on the plaza, lobby, and elevators, in order to generate more demand for the 150,000 square feet that will be rolling over the next two and a half years. In fact, since our December investor meeting we have inked over one million square feet of leases through the end of April, 500,000 square feet of which was in the first quarter of 2010 alone which puts us well on track to meet or exceed our goal of 1.5 million square feet of leasing for the year. Going forward for the balance of the year we have about 925,000 square feet in the portfolio that will expire through the balance of 2010 with an averaging expiring rent of about $50 per square foot which is roughly in line with our portfolio average. When we look at the suburbs, they also had a particularly solid quarter with over 200,000 square feet of leasing and while rents were off around 10%, 11% in the suburbs they were able to reduce concessions, TI and free rent to as low as they’ve been in the last three quarters. TI concessions averaging $11 a foot, and free rent averaging about three and a half months per lease. So, very consistent with our strategy to reduce the amount of capital outlay, manage net effective rents to take lower face rents but preserve capital and deploy the capital in a way we think is most efficient for this company. We continue to believe in the resiliency of New York and its ability to outperform most major other office markets and that confidence and resiliency I think is demonstrated by the fact that there’s enormous foreign and domestic demand for property. We’re seeing lenders come back into this market and starting to make conventional loans at reasonable rates which we think will certainly facilitate the trading market which Andrew is going to speak to in just a moment, and one, produce more opportunity for us and companies like us to take advantage of those improving markets and more liquid markets over the next year or two. But as importantly it will help to turn around and resurrect property values which I think have only just begun. I know a lot of people are looking at the values today, the firming up that’s going on in Manhattan, thinking that maybe values have gotten ahead of the fundamentals. I think when you really look back at where the market peaks were in 2000, 2006, 2007 and I don’t even think we’ve begun to scratch the surface of what I hope will be significant growth in demand, rental rates, property values, and getting back to a well functioning market. With that let me turn it over to Andrew who is going to talk about a few of the more notable transactions that we were able to complete recently. 
Andrew Mathias: Thanks Marc, good afternoon everybody, the Manhattan sales market has begun to pick up as we expected it would in 2010. This includes both core office offerings in addition to retail and transitional properties and structured finance offerings. The buyer interest in all of these offerings have been very high with capital jumping at the opportunity to come off the sidelines and participate in what’s widely perceived to be a recovering market. We have been hard at work taking strategic actions in both our real estate and our structured finance books. In April we announced our first office acquisition since December, 2007 with our purchase of 600 Lexington. There were several key strategic objectives in purchasing this asset. A very attractive price per foot for a Class A asset in a prime location, this building was completed in 1985 making it a relatively young building in the Manhattan market. A very strong and compelling going in yield with the opportunity for significant upside given the lease rollover profile in this asset and gaining first mover advantage in the market as liquidity in the sales market continues to increase and real price discovery has had in the Manhattan market. The property is encumbered with an approximately $50 million fixed rate mortgage which we intend to assume as part of the deal. And we’ll be rebranding the property and doing some targeted capital upgrades focusing on the property’s great location and Lexington’s power alley and its ability to offer small tenants a full floor presence which is a much sought after feature in good markets and bad. In addition I’m pleased to announce today that we entered into a letter of intent with a major foreign pension fund to become our 45% partner in the deal. This letter of intent is subject only to definitive documentation which we expect to complete shortly. It will be our first venture with this partner and the deal structure provides for our typical package of fees and incentive returns which should further enhance SL Green’s return on this investment. In addition to 600 Lexington, we had an active quarter on the structured finance front including the deployment of $80 million into five different assets. Some notable developments in our largest structured finance investment bear mention, during the quarter we executed a swap of our $36 million mezzanine position in another asset, a position we had added to in 2009 for the C Note position in the retail condo at 666 Fifth Avenue. Recall that we already own the mezzanine position junior to this C position on that asset and we took an opportunity through this swap to consolidate our investments on this single asset. The swap generated a gain on that portion of the asset we traded that we had purchased in 2009. Subsequent to the swap ownership announced a major lease at the property with the retailer [inaudible] one that’s been characterized as the largest retail lease in Manhattan history. This lease with an A rated tenant significantly enhances our collateral value and we believe further shores up this investment which now totals $146 million of the structured finance book. We continue as always to actively seek ways to add value on both the real estate equity and structured finance fronts. And now here’s Greg with some color on the numbers. 
Greg Hughes : Great thanks Andrew, the quarter was highlighted by our continued efforts to strengthen the balance sheet by increasing liquidity, terming out debt obligations, and further deleveraging the balance sheet. In January we priced a preferred equity transaction at 8 1/8, a premium to the then trading value of our securities. This transaction added $127 million of permanent equity capital to our balance sheet. Consistent with our stated objectives from the December investor meeting, we have spent time with the rating agencies and were able to achieve an upgrade to the ratings outlook our Reckson operating partnership. This upgrade enabled us to access a new source of capital with the issuance of our first senior unsecured bond deal. The $250 million issuance helped out term out pending debt maturities and freed up some $300 million of cash on hand that had been previously earmarked for the repayment of pending obligations. We will continue to pursue an investment grade rating which should further enhance the pricing associated with the securities and continue to have access to an important new source of capital through the unsecured markets. During the quarter we generated funds available for distribution of $52 million. As we have stated before this significant internally generated cash flow is our cheapest source of capital and a key component towards the deleveraging that has taken place over the last 18 months. These activities have helped increase the weighted average life of our debt obligations to 5.8 years, and have enabled us to reduce our outstanding line of credit balance down to $900 million at quarter end. As Andrew mentioned we invested $82.5 million in five new structured finance investments. The structured finance balance outstanding of course stayed relatively constant with year end given the swap out of the one position into 666 that Andrew discussed and of course with the foreclosure of 100 Church which was converted into a real estate owned asset in January of this year. The foreclosure of 100 Church accounts for the increase in real estate assets that you see on the balance sheet during the quarter as well as the increase in the mortgage notes payable. One Hundred Church was recorded on our books for approximately $197 million included in the assumption of $140 million mortgage note. One Hundred Church also accounts for the sizable increase in our restricted cash balances as we have approximately $60 million of reserves set aside for the lease up of that asset. With respect to the structured finance portfolio we had originally projected no repayments of that portfolio in 2010. However given the successes that Andrew alluded to over at 666 Fifth Avenue, that asset is now being marketed for sale. Based upon the sale there is a strong likelihood that a portion or all of the $146 million outstanding position could be repaid on or before its initial maturity of July, 2010. Turning to the P&L the results for the quarter as Marc alluded too were largely in line with the expectations and the guidance that we had previously provided. Occupancy for the quarter declined to 94% principally from the scheduled expiration of [Avendi] at 800 Third Avenue, and the rejection of the Nortel lease at 485 Lexington Avenue, one of the few casualties in our portfolio from the recent downturn. Combined same store NOI remained positive with a 2.4% increase. This increase included the benefits of the BMW lease signed during the fourth quarter of 2009. Note that that lease included a four month free rent period which accounts for the free rent increase which you’re seeing during the first quarter here. The mark-to-market of negative 5% was right in line with our 2010 goals and objectives and the average free rent period of 5.5 months remained relatively high compared to historic levels, but was consistent with our expectations. The quarter included approximately $5.5 million of lease cancellation income, $2.6 million of which is included in other income and the remaining $2.9 million comes through in the income from our unconsolidated joint ventures. The structured finance income includes the benefits of the new originations and the $2.8 million gain that Andrew alluded to on the conversion of our 33rd Street investment during the quarter. Note as mentioned during the fourth quarter call the structured finance income does not include any accretion of the discounts on the 510 Madison structured finance position. During the quarter we also recorded a $6 million reserve against one of our structured finance positions, a corporate position on a non-New York asset with a lack of clarity and information on that credit, led us to reserve the balance of the [inaudible]. Interest expense for the quarter reflects the benefits of historically low LIBOR rates which averaged just 23 basis points for the quarter and our G&A which remained constant with the previous quarter includes approximately $1 million of [Aqueduct] related costs that were written off during the quarter. As Marc mentioned notwithstanding certain of the dilutive capital initiatives that we’re undertaken during the quarter we continue to maintain our guidance of $3.90 to $4.10 which we provided in December. Its important to remember that this guidance could be impacted by interest rates, the possibility of asset sales, and the timing of the redeployment of proceeds from asset sales, as well as the timing and amount of possible structured finance repayments. And with that, I’m going to turn it back to Marc. 
Marc Holliday : Thank you, sort of keeping to the format that we did in January, keeping these prepared remarks relatively brief, trying to explain as much of the quarter’s activity as we thought, you would need in order to decipher certain of the impacts on our balance sheet and P&L, we wanted to leave most of the time available for questions and answers. So with that why don’t we open it up for some questions. 
Operator: (Operator Instructions) Your first question comes from the line of Steve Sakwa - ISI Group
Steve Sakwa - ISI Group: Could you maybe just talk a little bit more about the leverage, I just want to try and understand you said you’re not changing guidance but it could be impacted by potential asset sales or repayment from the structured finance business, and it sounds like that loan at Fifth Avenue is likely to get paid off. How do you think about leverage, where do you want it, and is it likely to assume that you will take some deleveraging activities into account. 
Greg Hughes : Well you’re going to have of course the unsecured note issuance that occurred in March, so you only have a half month’s effect of that in the quarter so you’re going to have a full month’s effect going forward. Asset sales and we talked about, we’re always going to have asset sales and you should look for that to happen this year. And hopefully we’ll time it so that that money gets redeployed very quickly and so there’s no temporary dilution if you will from that but there’s obviously no guarantee because its real estate that we’re trafficking in. We are, we didn’t expect we were going to get structured finance repayments, we likely will but we’re kind of ahead of the game already in terms of originations for the first quarter so those should hopefully offset that. If we do get $146 million back in July on 666 we’d obviously need to redeploy that. In terms of overall leverage the debt to EBITDA is around 8.4x, we had talked about getting that down to 8 and of course if you dial out the 1 Madison and Greenwich buildings, the debt to EBITDA is closer to 7.5, so we have 8.4 and want to get it down to 8 and that should principally come from free cash flow. So I alluded to the $52 million even when you take out $8 million of dividends out of that number that’s a $40 million plus that’s going to deleveraging the company. If you do that over the next two to three years that kind of gets you to the 8. So, a lot of the capital initiatives that you’ll see should be designed to fund external activities and growth. 
Steve Sakwa - ISI Group: And then just a technical question how much NOI was in the quarter from 100 Church Street. 
Greg Hughes : The NOI was basically a push, it was negative. There was around $3.5 million of revenues and a comparable amount of expenses. 
Operator: Your next question comes from the line of Jamie Feldman – BofA/Merrill Lynch
Jamie Feldman – BofA/Merrill Lynch: I was hoping you could provide a little bit more color on potential investment activity, it sounds like you think there’s more assets coming to market, how big is the pool that you’d be interested in and then also what kind of returns do you think you’d be looking for. 
Marc Holliday : I think as Greg said, we’ve already exceeded the investment objectives we set out for this year so anything we do from now through the balance of the year will be things that we consider either opportunistic or good core investment opportunities which I’m almost certain we will see just based on the pipeline that we look at in front of us. I think we’re pretty consistent on the yields that we’re looking to make at this part of the cycle. We talked about unlevered yields of around 8% to 9%, levered yields of around 12% for straight office property investments and on the structured for subordinated debt investments anywhere between, could be 8% and 15% as a wide range, 10% to 12% as a narrow range. Really just depends on the position and the exposure and the coverage. Its hard to generalize but I think our book of business is somewhere around 9% or so, average yield on a mixture first mortgages and subordinate investments and its been very profitable. As Greg said the loan loss reserve this quarter was down to around $6 million which I think is the lowest its been in a number of quarters and we expect it to remain at those levels or hopefully less. So, with that behind us this can be a very profitable business line in a market where there’s very few debt providers.
Jamie Feldman – BofA/Merrill Lynch: And then maybe just an update on how negotiations are today versus say last quarter in terms of what tenants you’re looking for, free rent versus TIs and then how much do you think you’ll spend in CapEx this year. 
Steve Durels : It seems that on the concession side there hasn’t been a whole lot of change yet. It’s a bit of a different market then, as far as coming out prior recessions where I think what we’re seeing is that there is more movement on improving the taking rents rather than closing out the concessions but I think that’s a temporary thing because there was such a wide gap between a lot of owners, what they had in their asking rents versus their taking rents. I think by end of the year you’re going to see us and a lot of other owners start to pull back on concessions. Its still going to be very competitive as far as tenants seeking built space or looking for landlords to put enough capital into build the space. And there’ll be, it will remain a competitive market but at the same time there’s clearly a change in perception in both the brokerage community and a change in perception in the perspective tenants. You see a lot of tenants with 2012, 2013, 2014 lease expirations that are making the decision to try and do early lease negotiations because they fear that they’re going to miss the bottom of the market. So I think the psychology is definitely changing and its allowing us to begin to level the playing field. Greg Hughes If you look at kind of overall capital and now dial 100 Church out of the equation because that’s kind of separate unto itself and going to be self-funded by the reserves and including our share of capital from JD’s the total capital will be around $80 to $100 million. 
Operator: Your next question comes from the line of John Guinee - Stifel Nicolaus
John Guinee - Stifel Nicolaus: Nice job guys, can you give us just to clarify, you paid $193 for 600 Lex, by the time you add in closing costs, base building CapEx and TI leasing commission to stabilize it, what do you think your entire basis will be in that asset and then the same question for 510 Madison and the same question for 100 Church, so we can get a sense for your stabilized investment in all three. 
Marc Holliday : Andrew can give you the numbers on, run you through those basis calculations on 600 and 100, I think 510 given it’s a straight debt investment its really not appropriate for us to go through that analysis other than we can tell you how much is in reserve on the loan but the borrower is the one who’s executing that program will ultimately derive what that investment basis will be in 510 so long as he owns the property. 
Andrew Mathias : The question is basis per foot in these assets?
John Guinee - Stifel Nicolaus: Or a total basis, we can do the rest of the math. For example at 600 Lex is your closing cost $300,000 or $3 million or are you going to put another $200,000 or $2 million into the base building and then what kind of costs do you have to get it up to full occupancy. 
Andrew Mathias : Let me come back to you with the cost to get it to full occupancy, the closing capitalization is going to be around $197 million or so, and I’ll give you the five and 10 year costs, in one second. And then in 100 Church its going to be around $225 million of total capitalization fully leased with appropriate credit and vacancy. And we anticipate around $22 million of NOI on that number, between $20 and $22 million. 
John Guinee - Stifel Nicolaus: I appreciate your comment on 510 Madison I guess is it safe to assume the $75 million will be spent if and only if leasing occurs by your borrower in the next 12 months. 
Marc Holliday : Its more complicated, the loan is in default and therefore what we will or won’t fund out of that amount of money is really going to be determined in another venue, so some may be funded but we’ll have to just see how that all gets decided in the courts. 
John Guinee - Stifel Nicolaus: And is it safe to say that you would treat that borrower as you expect to be treated. 
Marc Holliday : I’ve lived up to its servicing standard all my life that has gained this company an above average rating but from S&P and a brand new designation from Fitch which I can’t even pronounce it, its CSS2 equivalent or something so, we go through rigorous inspections by the rating agencies to our servicing standards and are found to be at the highest levels. 
Operator: Your next question comes from the line of Jay Habermann - Goldman Sachs
Jay Habermann - Goldman Sachs: You talked about the number of requirements especially for large blocks picking up and you mentioned four items, the consolidation, some growth, locking in the long-term rates at current levels, and trading up in quality, but I’m just wondering when do you start seeing some pricing power come back and when do you think about leasing spreads actually turning positive. Is that something you think we could see by the end of this year. 
Marc Holliday : What I think I might have said in January or sometime between the two calls, is that this recovering leasing market so far has been on the backs of the non-financials. So roughly 40% of the market is driven by financial banking, insurance, and those big requirements have not, those big new growth requirements, have not really surfaced on the market yet. So its been a whole smattering of other sectors that I named previously all expanding by 10, 20, 25, 35,000, 45,000 feet but in order to really see that pricing pressure and really see that vacancy start to come down to 10 or below, we’re going to need to see some new requirements coming from financials in the quarter million to half a million square foot range to take some big blocks off the table and I’ll let Steve give you his opinion on that. I can tell you that I haven’t seen a lot of that yet in terms of growth, we’ve seen a lot of relocate, ones that fall into the four buckets, but that’s only going to chip away a couple of tenths of a point per quarter, which by the way is not so bad. And then a couple of years all of a sudden you’re going to have that type of competition you’re talking about. But what we’re underwriting now for deals like 600 and others is around 25% rent growth over the next three years. So we think there will be significant growth in rents, we’re underwriting that growth into beleaguered rents even with that kind of growth the rents are still relatively low as compared to past peaks. But its going to be driven by demand that we don’t really see today. 
Steve Durels : I think to add to it we are seeing on the margins, we’re seeing rental growth for small space. Its got to start somewhere and right now the smaller space meaning 10,000 square feet or less for Park Avenue or the best buildings on Madison, Fifth Avenue, largely financial services, largely international firms, are driving prices up and there’s real competition. You’ve seen a couple of buildings for quality space raise their rents a couple of times already in the past two or three months. So to Marc’s point until we get that sort of wholesale big block absorption going that’s when you’ll really see material pricing changes. But the psychology is changing, the competition is changing, the high end part of the market, meaning the best parts of buildings, is clearly becoming more competitive. So I think we’re right on the bubble. 
Jay Habermann - Goldman Sachs: You talked about CapEx costs coming down but I’m wondering if we could actually see CapEx increase given that the focus is now shifting to these larger blocks. 
Steve Durels : I don’t think so, I don’t think so because there’s a couple of tenants in the market right now and you really got to segregate the market between certain price points. If you’re a tenant looking for $65 space and your a couple hundred thousand square feet, your choices are dramatically different than if you were a tenant looking for $40, $45 space. So its all a little relative as to how much your CapEx, relative to the rent you’re paying but then you’re seeing certain parts of the market tighten up. So I don’t think you’re going to see CapEx increase at all. 
Greg Hughes : If you look at the renewal on BMW and if you look at some of the renewals [inaudible] in this quarter we’ve been actually very successful in keeping the capital and the renewal deals very, very [inaudible]. 
Operator: Your next question comes from the line of Michael Knott – Green Street Advisors 
Michael Knott – Green Street Advisors : Curious when you said that you’ve had about 500,000 feet of subsequent leasing since the quarter end should we take that to mean that the occupancy in Manhattan will come back up a little bit because I think you had said before the 94% was kind of your goal to hope to stay above 94% through the whole cycle, so I’m just curious how to think about that. 
Marc Holliday : I think if we stayed on that cycle and wound up doing two million square feet instead of 1.5 million square feet of leasing that could nudge it up beyond the 94 we had projected for year end but it depends whether that leasing is targeted to existing vacant, in which case the answer is yes. In some cases we’re talking early renewals so you’re really just chipping away at 11 and 12 in which case the answer is no. I don't know if I have a breakdown of the half a million feet, how much of that was for existing vacant or to be expired in 10, or how much of that was for future roll. 
Steve Durels : With new leases versus renewal leases it was basically 50/50. 
Marc Holliday : That’s the only thing I would [inaudible] include the numbers, I would take a look, I think that level of disclosure is in the sup as to the leases we’ve done and if there’s more than I would say 1.5 million feet of leasing of existing vacant or 2010 expiries, then mathematically certain it will be better than 94%. 
Michael Knott – Green Street Advisors : Can you just repeat what you mentioned about Aqueduct and I thought you mentioned a writing off costs, can you just comment about what you’re thinking about with that project coming back being available again is my understanding.
Greg Hughes : We had roughly $2 million capitalized and so there’s legal and architectural costs that will benefit us going forward. And in a subsequent bid, there’s other costs, lobbying and advertising costs which will have to be repeated in connection with a new bid so those that would have to be repeated we went ahead and wrote off during the quarter. 
Operator: Your next question comes from the line of Russ Nussbaum – UBS 
Russ Nussbaum – UBS : I’m curious when you think about the capital structure and the costs of your alternatives, why common equity doesn’t fit into the equation particularly from a risk/reward perspective with a sub 4% AFFO yield and a sub 6% cap rate, why not issue equity and just start paying the dividend. 
Greg Hughes : I think if you look back historically what has distinguished us and I think made us most profitable is harvesting gains on existing assets and redeploying that money and so I think our sense is that given the demand that you’re seeing on the private side that we’re better off getting our equity funding at this point if you will, from asset sales rather than from the sale of common stock. And so I think that’s served us very, very well during most of the time that we’ve been public and I think that’s what we’ll look to continue to do. 
Russ Nussbaum – UBS : And then with respect to your recent acquisition at 600 Lex can you walk us through what in particular attracted you to be the winning bidder on that asset as opposed to say 340 Madison or 417 Fifth, 885 Third I guess is going to be in play here, what was it about that asset that caused you to be willing to pay more than others. 
Andrew Mathias : I went through a couple of the points and those points distinguish this building a bit from the other assets that are on the market. I think the ability to offer full floor presence for small tenants is very attractive. The location of this asset and its positioning on Lexington with its neighbors 599 and 601 we think gives it a very white shoe, high end type of feel and we’re certainly looking at all the other assets on the market. This asset presented a good opportunity to, with some roll in the rent roll and the rents today are roughly out to at little bit below market so it gives us a chance to roll the rent roll up as opposed to some of the other offerings where we feel rents are significantly above market and there may be some roll down in the future. 
Steve Durels : To add to that the personal experience that we’re seeing right now as far as the type of tenants and where the demand is in the market, this building sits right in the sweet spot. We’re seeing a lot of demand for those small boutique-ish, financial services, international legal type tenants and 600 Lex fits right into that. This is our mind is going to compete head on with Park Avenue, with Fifth Avenue, with the whole plaza district and you can name off kind of six or seven buildings which are experiencing price increase and the tower at 56, 375 Park, 450 Park, 712 Fifth, couple of sort of corridor that this building lies right in. Additional to that is it’s a building that I think suffered disproportionately over the past year or year and a half because next door there was a demolition site where they were tearing down a building then they went through a lobby renovation, then they hit the recession and for a small space building those were death nails to the leasing program. But now we’re past all of that and I think the building sits in a perfect situation to really benefit from an improving market. 
Russ Nussbaum – UBS : And is the JV just straight up [inaudible] or have you structured it with some—
Greg Hughes : We have incentive returns in a joint venture as is typical in our JVs. 
Operator: Your next question comes from the line of Mitch Germain – JMP Securities 
Mitch Germain – JMP Securities : Just curious about bidders, who’s out there, who’s got the most money, who’s being most aggressive.
Andrew Mathias : I think what we’re hearing is that people are seeing bids from all different sources, domestic and foreign, closed end funds, open ended funds, pension funds. I can tell you when we announced the 600 contract signing we had a bunch of calls from folks enquiring about the potential to partner on the deal and that was a wide variety of capital sources. There were some domestic core funds, foreign capital sources, German equity sources, its been really across the board and that’s sort of what we’ve been saying for the last nine months which is everywhere we travel people are saying how do we get property in Manhattan, how we do get on the playing field here. 
Mitch Germain – JMP Securities : And your G&A guidance for the year, it was $0.95, any change considering you just did the 600 deal or was that all baked in. 
Greg Hughes : No that should be all baked in, one caveat that I would give to that is there was a change in the accounting rules last year, that transaction related cost can’t be capitalized any longer, that they have to be expensed and now that we’re back in the, actively in the investment mode, you might see some expenses related to that and we’ll just track that separately for you but on an apples to apples basis its consistent with where we had guided. 
Operator: Your next question comes from the line of Jordan Sadler - KeyBanc
Jordan Sadler - KeyBanc: Just as a follow-up to some of the commentary you have been pretty active since the investor conference and as you said ahead of your original investment objectives for the year and that you sound very confident in sort of the New York City market and expectations for values, so could you maybe just frame up what you’re seeing in terms of sort of rent growth, I know you mentioned on 600 Lex do you think rent growth will now be better than you thought it was five, six months ago. And what about cap rates, you had mentioned the 5.5 to 6 again in your opening commentary, but do you think terminal cap rates will be lower and that’s sort of driving some of the increased investment opportunity here for you.
Marc Holliday : I think on rental rates what we had said in December was shrinking concessions through the back half of 2010 and face rental increase, sharp face rental increases in 11 and beyond so, I think we’re on track with that. That will vary building by building but I think a ballpark of 25% over a three year period is probably as good an assessment as any that we have now. And we’ll just have to monitor that. I can’t really, not going to see that in our results. Its going to be lagging because remember deals we’re reporting today were incubated three and six months ago, so really the full effect of what we’re seeing today which may not fully come through in the numbers you’ll probably see in the third and fourth quarters and certainly into 2011. Again it has to by a certain respect if the job growth is there, so I’d just watch monthly job growth and try and tie those, connect those dots to how strong we think the rental demand could be but its definitely headed in the right direction. As to cap rates, too much of a crystal ball. I think long-term cap rates for Class A properties between 5 and 6% is a pretty reliable barometer if you have to use a crystal ball and predict cap rates. 
Andrew Mathias : It will depend on interest rates and it will depend on rental growth. If you get rental growth without interest rate movement up, then you may see cap rates dip down low. 
Jordan Sadler - KeyBanc: Is it fair to say you’re not terribly worried about long-term interest rates moving up. 
Marc Holliday : I mean it depends, if long-term interest rates are accompanied with long-term big nominal rent growth you may not see the cap rates rise all that much. I think its not just about interest rates, its interest rates and [reps] so you have a view on where both are going to have a view where cap rates are going. If you get increased interest rates and not much rent growth then that’s not a good recipe but I think we’re looking more towards the fundamentals and saying that if the job growth is there then the rental increases have to follow. And if there’s little inflation on top of that, that should also increase the rents further. 
Jordan Sadler - KeyBanc: And then just a detail on 600 Lex, is that a fee simple deal or a ground lease. 
Andrew Mathias : It is a fee simple, it was misreported as a ground lease in the paper.
Jordan Sadler - KeyBanc: The structured finance portfolio I’m eyeballing the maturities, I know its in your filings as well, but just on page 31 of your supplement you’ve got the maturities schedule, it looks like there’s north of $300 million coming due this year, what are the big pieces there and the expectations.
Greg Hughes : The two big ones are 666 Fifth which I alluded to, it’s a July maturity, $146 million. They had extension options and our original anticipation was that that would be extended so you might have seen in the paper earlier this week that its being marketed for sale so that’s why we think we may see some of that money coming back. The other big piece that’s in there is 510 Madison Avenue, so its really those two positions. Tough to say exactly what we were expecting there but you can follow in the newspapers how that plays out.
Jordan Sadler - KeyBanc: So the 146 on 666, is that face. 
Andrew Mathias : Yes. 
Operator: Your next question comes from the line of Brendan Maiorana – Wells Fargo 
Brendan Maiorana – Wells Fargo : Just to follow-up in the structured finance portfolio other than 510 Madison are there investments in there where you think there’s a reasonably likelihood they could convert over to direct real estate investments. 
Marc Holliday : First, we have no comment on 510 whatsoever, so just re ask the question. 
Brendan Maiorana – Wells Fargo : Other than, if we took that out of the portfolio and looked at the remainder, are there, can you give us a sense of how much of those investments you think there’s a possibility that may convert over to direct investment. 
Marc Holliday : That’s really, that’s in control of bars, I can’t, these are straight debt positions, no different than any lender has in their book. We’ve done billions and billions of originations of this kind of property. We have had one foreclosure, that’s 100 Church, so I would say to you the vast majority of what we originate and what in the past and the future are going to be loans that we expect will either fully perform that will be restructured to performance that we may sell if we think we’d get a good bid. They’re rarely going to result in a foreclosure. Occasionally the borrowers have sold us properties and what we would call friendly acquisitions which we’ve done over the years on deals like 220 42nd, and 609 Fifth, so I would, that’s how we think of the program. We’re lenders, we’ve been lenders, we’ve done over 100 loans, there’s only been one foreclosure and we tried to restructure that loan frankly and finally came to the determination that the foreclosure was the only and best path to pursue. But I would look at that book of business as a yield business. If opportunities arise we would expect more often then not they’re going to be what the people here are calling friendly acquisitions as we’ve done in the past. 
Brendan Maiorana – Wells Fargo : And then just in terms of the investment balance as we look out the opportunity set over the remainder of the year should that be about in line with where it is if you’re going to recycle the proceeds from 666 should you get them. 
Marc Holliday : I think its roughly right, we’ve always had a 10% of total market cap, self-imposed parameter that we’ve done on it. I think we’re still working with that. The only change now is we’re refocusing squarely on New York as a market whereas in the past as part of that pool we have done some deals outside of the city with some very mixed results, so the New York portfolio has in the past and we think in the future done extremely well and that’s where we’ll focus those investments and use that 10% as a guide stick. 
Operator: Your next question comes from the line of Suzanne Kim – Credit Suisse 
Suzanne Kim – Credit Suisse : I’m just questioning your structured finance and other income line, just wondering what you think [inaudible] over the course of the year given what you’ve talked about with [inaudible]. 
Greg Hughes : I think if you take what we reported for the quarter and back out the $2.8 million one-time gain from the sale of the one asset that that ought to be representative of what looks like on a quarterly basis going forward. That would again— 
Suzanne Kim – Credit Suisse : So you’re saying that $28 million is a good run rate for the remainder of the year. 
Greg Hughes : No, you asked, I was commenting about structured finance specifically, and on other income on the financial statement includes $2.5 million of lease cancellation income, after you back that out, that’s probably a good run rate as well. Although you may see some, if history repeats you’ll likely see some additional lease cancellation income at some point during the year, but in terms of run rate I think that’s the right way to think about it. 
Suzanne Kim – Credit Suisse : And also regarding 600 Lex what do you think is the 141 adjustment on that. 
Greg Hughes : We will have that for you next quarter, its in the process of being formulated. So that will be a second quarter closing and we’ll give you that number on the next call. 
Operator: Your final question comes from the line of Michael Bilerman – Citi 
Michael Bilerman – Citi : In some of your comments you talked a little bit about the dividend and having call it $40, $45 million of free cash flow a quarter given the fact that you’re only paying a $0.10 dividend which effectively is what the taxable net income was in the first quarter, I guess how long, I think you mentioned two to three years dialing that in, do you have the ability for the next two to three years to continue to pay such a low dividend and harvest that free cash flow to delever and sort of what are you going to be at the push point on that. 
Greg Hughes : I think clearly for 2010 that’s the case and probably I think as we’ve said 2011 its probably the case as well. I think you have to start revisiting that probably in 2012 and again, its somewhat contingent upon how much we earn. Its also contingent upon if we have property sales which you’re likely going to see, those can generate taxable income and that amount of taxable income would have to be factored in. But I think certainly for 2010 and 2011 we look to be in good shape on that front and probably would have to reevaluate it again in 2012.
Michael Bilerman – Citi : Is there any short-term things you’re doing on taxable net income that sort of has an effect as they start to wear off so that effectively you’re taking additional depreciation and additional amortization on a short-term basis but then reverses itself in a few years. 
Greg Hughes : Well yes, we’ve always talked about the cost segregation studies that we do which if you look at the Reckson transaction, [inaudible] segregate a piece of the purchase price and accelerate the depreciation, you can do kind of up to 12% of the purchase price and allocate that to personal property which can be depreciated over a much, much shorter period of time, call it five to seven years so that that naturally burns off over a five year period. There’s also some losses that we recorded during 2008 and 2009 which we can use to offset taxable income in future periods and that again will burn off likely over a two to three year period. So the NOL over a two three year period, the accelerated depreciation over call it a five year period, but again we’ll do a similar type exercise to the extent that we have new acquisitions that could replace that. 
Michael Bilerman – Citi : Just relating to the cost of capital, as you think about the unsecured debt and the preferred that you raised during the quarter, almost $400 million at close to 8%, and you think about the investments that you’re making in call it the low to mid five at least initial and then as you think about the debt that rolls and the eventual line of credit renewal, how do you think about all the stuff coming together in terms of accretion dilution in terms of your numbers. 
Greg Hughes : We’re perpetually evaluating, what it is that we think that the cheapest source of capital is. I don’t know that I would tie directly the unsecured note issuance to new acquisitions. It’s a corporate finance [inaudible] for us where we’re able to access a very important new pool of capital for us. When we gave our guidance in December with respect to interest expense, I think we were pretty clear that we thought interest expense would absolutely be going up. A, because we thought floating rate or LIBOR would increase but also in anticipation that we were going to have to refinance some of that very low floating rate debt that we had in place. So we did it, that’s part of the reason we can do those financings that you’re alluding to but at the same time not to have to change our guidance. I think in terms of when you look forward at the revolver and what’s happened in the capital market, there’s been a dramatic, dramatic transformation in the last 12 months. We have a number of people seeking us out now wanting to be involved in our line and extend us credit because they know that that’s important for doing business with the company going forward and I think the pricing on that type of credit has already dramatically improved in the last 12 months. We still have another two years to go before we have to specifically deal with the refinancing of the line so I think you have to wait and see but the credit markets are improving dramatically. You have a lot of life companies out there looking to extend money because they haven’t put out money in a number of years, you have the CMBS markets coming back so, I think that we’re going to manage that in over time. And like I said we’ve provided for it in our guidance originally in anticipation of that. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 